Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to Fox Factory Holding Corp.'s Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this conference is being recorded. I'd now like to turn the conference over to Toby Merchant, Chief Legal Officer at Fox Factory Holding Corp. Thank you, sir. You may begin.
Toby D. Merchant,: Thank you. Good afternoon, and welcome to Fox Factory's Third Quarter 2025 Earnings Conference Call. I'm joined today by Mike Dennison, Chief Executive Officer; and Dennis Schemm, Chief Financial Officer and President of the Aftermarket Applications Group. First, Mike will provide business updates, and then Dennis will review the quarterly results and outlook. Mike will then provide some closing remarks before we open up the call for your questions. By now, everyone should have access to the earnings release, which went out earlier this afternoon. If you have not had a chance to review the release, it's available on the Investor Relations portion of our website at investor.ridefox.com. Please note that throughout this call, we will refer to Fox Factory as FOX or the company. Before we begin, I would like to remind everyone that the prepared remarks contain forward-looking statements within the meaning of federal securities laws, and management may make additional forward-looking statements in response to your questions. Such statements involve a number of known and unknown risks and uncertainties, many of which are outside the company's control and can cause future results, performance or achievements to differ materially from the results, performance or achievements expressed or implied by such forward-looking statements. Important factors and risks that could cause or contribute to such differences are detailed in the company's quarterly reports on Form 10-Q and in the company's latest annual report on Form 10-K, each filed with the Securities and Exchange Commission. Investors should not place undue reliance on the company's forward-looking statements, and except as required by law, the company undertakes no obligation to update any forward-looking or other statements herein, whether as a result of new information, future events or otherwise. In addition, where appropriate in today's prepared remarks and within our earnings release, we will refer to certain non-GAAP financial measures to evaluate our business, including adjusted gross profit, adjusted gross margin, adjusted operating expenses, adjusted net income, adjusted earnings per diluted share, adjusted EBITDA and adjusted EBITDA margin as we believe these are useful metrics that allow investors to better understand and evaluate the company's core operating performance and trends. Reconciliations of these non-GAAP financial measures to their most directly comparable GAAP financial measures are included in today's earnings release, which has also been posted on our website. And with that, it is my pleasure to turn the call over to our CEO, Mike Dennison.
Michael Dennison: Thanks, Toby, and thanks to everyone for joining our Q3 call. In the quarter, we delivered net sales of $376.4 million, up 5% year-over-year and adjusted EBITDA of $44.4 million, up 6% year-over-year, led by growth in both AAG and PVG. Our SSG segment underperformed expectations during the quarter, particularly within Marucci. While we made the right investments in product innovation, including successful new bat launches and category expansion, the impact of those actions were outweighed by a softening of the consumer environment throughout the quarter as our channel partners responded by significantly reduced inventory ahead of year-end. This underperformance is reflected in our updated full year outlook, which we will cover. Our overall third quarter results demonstrate the power of our strategy even in challenging environments like this. We're executing our product road map with strong innovation across all 3 segments, and we're seeing strategic customer engagement reach new levels. Whether deeper integration with truck manufacturers, expanded platform adoptions in powersports or new bike partnerships, we're becoming more embedded in our OEMs product strategies. These wins reflect years of relationship building and validate our focus on performance-defining innovation. Our third quarter margins, while improved, continue to reflect investment in product launches with strategic customers. These launches required us to accelerate certain investments and delayed the execution of footprint consolidation activities that were originally timed for early in the third quarter. Those consolidations have since been completed early in the fourth quarter with anticipated benefits to follow. Despite these timing impacts, our $25 million cost reduction target remains on track for the fiscal year. The strategic investments we're making from new bike platforms to expanding our bat portfolio into adjacent categories like softball are setting the foundation for future revenue and margin expansion. We remain focused on delivering innovation our customers demand while executing the operational improvements that will restore industry-leading profitability. Let me remind you of the 4 key initiatives that are driving our performance and positioning us for sustainable growth. First, footprint consolidation. This quarter, our efforts were focused within the AAG and SSG segments. We accelerated certain consolidation activities in our AAG upfitting operations and SSG during Q3, creating approximately $2.5 million in onetime costs as we moved equipment and realign production. While this impacted Q3 margins, we made this decision deliberately to position ourselves for upcoming product launches, including significant new OEM strategic moment and to capture long-term margin expansion opportunities as we scale these programs in 2026. Within SSG, we executed warehouse consolidation work in our Marucci business during the quarter that positions us with a more efficient distribution footprint going forward. Second, portfolio optimization. Our focus on highest performing SKUs and strategic growth categories is showing up in market share gains in AAG aftermarket components, strong performance of new product launches in bike in the first half of the year and operational efficiency improvements in PVG. Third, working capital management. We've maintained improved inventory positions in PVG and SSG through disciplined supply chain practices, translating into cash flow generation that supports our efforts to improve balance sheet leverage. We've demonstrated this by reducing debt by $17.4 million year-to-date and expect to make additional progress in the fourth quarter. Lastly, our cost reduction program. As I mentioned, we remain on track for full fiscal year delivery of our $25 million target with footprint consolidation activities now complete and benefits flowing through in Q4. The underlying cost structure improvements we're making are expected to provide operational leverage as we navigate this cycle as consistent revenue growth returns to our businesses. The progress we're making across all of these priorities demonstrates that where we can control outcomes, whether that be through operational excellence, product innovation or strategic execution, we are delivering results, and I'm pleased to see consolidated revenue grow by 6.3% in the year-to-date period. However, let me be clear, our work is not done. As we look ahead to 2026, we're preparing to take action on the second phase of our optimization strategy. With the major components of our network consolidation now complete, our work is shifting towards maximizing efficiencies across our global footprint, simplifying our business and focusing on our core products. We are developing further actions to enhance our cost positions toward margin recovery and accelerating our efforts to improve our balance sheet leverage, which will include extracting working capital through targeted inventory reductions, maximizing previous period CapEx investments, which allow us to further reduce near-term CapEx in the future, and driving increased near-term free cash flow. We are in the midst of our budgeting process now and expect to share additional details surrounding this second phase of activity and its impact on 2026 guidance during our fourth quarter call. Now let me walk through our segment performance in detail. PVG delivered another quarter of strong execution with net sales of $125.9 million, representing 15% growth year-over-year and 2% growth sequentially. The automotive OE business remained reasonably stable and predictable in Q3 as we benefited from our position on premium vehicle SKUs. However, we are seeing some timing of shipment impact associated with the supply chain disruption following the fire at a major aluminum supplier within our automotive customer base. While this is a temporary issue, it is having an impact on our business in the fourth quarter and is captured in our fourth quarter guidance. Our powersports business continues to stabilize as the industry's dealer inventories improve. Our expansion into the motorized 2-wheel space continues to deliver results. Growth from new customers is offsetting the ongoing softness, albeit stabilized in the off-road powersports products. On the operational front, PVG is executing well, and we expect the improvement to continue through 2026. Our in-sourcing initiatives are reducing costs and helping offset some of the tariff exposure. For example, in conjunction with our OEM partners, we've been working hard to get components in-sourced to our own factory and limiting the amount of tariff expense for both FOX and our partners. On the product development front, the PVG team continues to deliver above expectations with recent product launches. In Q3, we firmly entered the street performance sector with Stratton Shock solutions tuned for the American sports car market. These new products signal our commitment to improve the driving and overall performance through our aftermarket channels for tens of thousands of enthusiasts. In addition, earlier this week at the SEMA Show, we launched our advanced software-controlled live valve suspension for the aftermarket. Previously, the only way our enthusiasts were able to buy these products was through a new vehicle purchase. Now they can do it through the network of dealers and installers who partner with FOX. Our initial launch includes products for truck, SUV and Jeep customers. This is the most advanced technology available in the off-road aftermarket from any company. In AAG, we delivered improved top line performance with net sales of $117.8 million, up 17.4% year-over-year and 3.2% sequentially. This was driven by growth in both aftermarket components and upfitting. Our aftermarket components business continues to gain market share. RideTech, Custom Wheel House and Sport Truck are proving resilient, driving double-digit growth in suspension and lift kits even in a challenging consumer environment. One product highlight worth mentioning is our recent launch of a performance truck program with a major OEM partner. This is a 702-horsepower supercharge V8 enhanced with our complete performance package, FOX shocks, RideTech lowering suspension and wheel solutions. Car and Driver recently featured the vehicle, calling it best-in-class high-performance street truck. This was an immediate success with early units selling out immediately and our backlog growing for 2026. More importantly, this represents the first time our upfitting team has worked directly with an OEM to build a custom vehicle that is sold through their website as part of their specialty vehicle operation. This approach has allowed us to maximize reach and expand our dealership network rapidly. We launched this program in Q3 and incurred the associated setup costs, but revenue begins flowing in Q4 and is expected to scale through 2026. To support this and other strategic launches, we made the deliberate decision to delay certain footprint consolidation activities in AAG and accelerate development investments, prioritizing these longer-term growth opportunities. Those consolidation activities have since been completed here early in the fourth quarter. In our Specialty Sports Group, we delivered net sales of $132.7 million, which was down 11% year-over-year and 3% sequentially. Our bike business continues to perform well in an industry that's working through an assortment of challenges, including recent labor issues causing block shipments and bankruptcies for OEMs and distributors. As we expected, OEM customers moderated purchases in the back half after maximizing the first half to support model year launches. This reflects appropriate conservatism about year-end inventory levels, a discipline we actually view positively even if it creates near-term growth constraints. New bike products are performing well, and we believe our market share position remains best-in-class. While we're still awaiting signals that would suggest a return to sustained industry growth, we continue to see signs of stabilization and the enduring competitiveness of the FOX brand within the higher-end categories that we play in. Turning to Marucci and Victus. Our new product launches that debuted late this summer, including both our Victus aluminum bats and premium Marucci RCKLESS line continue to receive strong reviews and positive response in direct-to-consumer channels. However, the broader macro concerns surrounding consumer remain a challenge, which is being compounded by our distribution channel shifting toward retail ahead of the holiday shopping period where retailers have become much more sensitive to their inventory positions. Further, our warehouse consolidation created some near-term fulfillment friction that is creating temporarily higher costs. The margin impact was compounded by our ongoing investment spending in new categories like softball and footwear as well as accelerating our product development and engineering capabilities. I want to emphasize that while Q3 was disappointing and the near-term consumer outlook is challenged, even our revised guide reflects strong revenue growth at Marucci in Q4. So while it isn't where we would like it to be, the business is still finding ways to deliver growth. In addition, we believe the investments we've made will continue to strengthen our competitive position over time. We've added world-class product development talent. We've entered fast pitch and slow pitch softball with market-leading products. We now hold the top 1, 2 and often 3 bat positions in key baseball and softball categories. We've expanded into footwear, and our MLB partnership continues to gain momentum with exceptional visibility during major events, including the World Series. These investments are expanding our addressable market and setting up multiple years of growth opportunity. Finally, I'll turn to our near-term outlook. For Q4, we are continuing to see an increasingly challenging macro environment, especially where large OEMs and channel partners are taking a more conservative approach to inventories as we head into the holiday season. In PVG and AAG, the fire at that aluminum supplier supporting truck production is expected to impact volumes for at least the balance of Q4 and likely Q1. As a result, we are reducing our Q4 guidance, and Dennis will provide the details. Looking ahead to 2026, we believe the macroeconomic environment is setting up to be increasingly challenging. Interest rates, while declining, remain elevated and continue to constrain consumer spending and business investment. The labor market has softened considerably with job growth slowing significantly and unemployment rising. These factors, combined with extended decision-making cycles within the various industries we serve are creating headwinds across our businesses. Given these conditions, we are redoubling our focus on margin enhancement and prudent capital spending through concentrating on our core products and businesses as the primary means of driving free cash flow towards our goal of reducing our balance sheet leverage. As we look ahead, we remain convinced of our strategy to deliver premium performance products and the dedication of our teams to execute our long-term vision. Our ability to expand revenue and EBITDA year-on-year is evidence that even in difficult times, we can outpace our competition. And our operational foundation is stronger than it was a year ago, highlighted by the great work within our PVG team. As an organization, we're executing with discipline on the things we can control while navigating the external factors we can't. And with that, I'll turn the call over to Dennis.
Dennis Schemm: Thanks, Mike. I'll begin by discussing our third quarter financial results, followed by our balance sheet, cash flow and capital allocation strategy before concluding with a review of our guidance for the fourth quarter and full year. Total consolidated net sales in the third quarter of fiscal 2025 were $376.4 million, an increase of 4.8% versus the same quarter last year, reflecting growth in AAG and PVG, partially offset by a decline in SSG. Our gross margin was 30.4% for the third quarter of 2025 compared to 29.9% in the third quarter last year, primarily driven by favorable shifts in our product line mix. Third quarter margins include the impact of intentional timing shifts related to accelerated strategic customer launches in AAG and facility consolidation activities that have since been completed. Total operating expenses were $99.4 million or 26.4% of net sales in the third quarter of fiscal 2025 compared to $88.7 million or 24.7% of sales in the same quarter last year. The increase in operating expense on a dollar basis was driven by investments to support strategic customer launches and product innovation that Mike spoke to and ongoing organizational restructuring initiatives. Adjusted operating expenses, which exclude restructuring and other discrete expenses as well as amortization of purchased intangibles, were $85.7 million or 22.8% of net sales in the third quarter of 2025 compared to $75.8 million or 21.1% in the prior year quarter. The company's tax expense was $2.3 million in the third quarter of fiscal 2025 compared to $0.3 million in the same period last year. Net loss for the third quarter of fiscal 2025 was $0.6 million or $0.02 loss per diluted share compared to net income of $4.8 million or $0.11 per diluted share in the same period last year. Adjusted net income was $9.9 million or $0.23 per diluted share compared to $14.8 million or $0.35 per diluted share in the third quarter last year. Adjusted EBITDA in the third quarter of fiscal 2025 was $44.4 million, up $2.4 million year-over-year, demonstrating our underlying earnings power despite investments into product and innovation and the impact of tariffs. Adjusted EBITDA margin was 11.8% in the third quarter of 2025, an increase of 10 basis points versus the prior year period. Moving to the balance sheet and cash flows. We continue to execute on working capital management with improved inventory positions supporting our cash flow generation. Total debt declined to $687.7 million, down $17.4 million from fiscal year-end while maintaining a strong liquidity position. We recently amended our credit agreement with our banking group, extending our maturity through October 2030, which provides us with enhanced financial flexibility as we execute our strategic initiatives. I'd like to reemphasize that paying down debt remains our top priority for capital allocation, and we remain focused on generating strong free cash flow to continue reducing leverage. Our $25 million cost reduction program remains on track as we expect to deliver that target in full this fiscal year. Now, moving on to our outlook for the fourth quarter and the full year 2025. For the fourth quarter of fiscal 2025, we expect net sales in the range of $340 million to $370 million, which in approximate terms represents a revision to the bottom half of the implied guidance we provided last quarter. Adjusted earnings per diluted share is similarly being revised down as well to the range of $0.05 to $0.25. The primary thrust of these revisions is the lower-than-expected performance within our SSG segment, where our OEMs, distributors, dealers and retailers are actively managing toward leaner inventories ahead of year-end. For the fiscal year 2025, we are updating our net sales guidance to the range of $1.445 billion to $1.475 billion from our full year guidance of $1.45 billion to $1.51 billion. We are updating our adjusted earnings per diluted share guidance to a range of $0.92 to $1.12 from $1.60 to $2. We expect a full year adjusted tax rate in the range of 15% to 18%. We continue to expect a full year 2025 pre-mitigated tariff expense of approximately $50 million. However, we have identified countermeasures to offset 50% of these impacts and believe we can absorb this unmitigated component in our updated guidance for full year 2025. Our strategic focus remains on profitable growth while improving margins and enhancing free cash flow generation through operational excellence initiatives. As Mike shared, our organization is preparing to advance our efforts with the second phase of actions that will build on work we completed this year. This multi-phased approach is necessary to capture further efficiencies toward our goal of positioning our consolidated business for accelerated margin recovery as our end markets improve as well as further strengthen our balance sheet and create long-term value for our shareholders. Mike, back to you for closing remarks.
Michael Dennison: In closing, our third quarter demonstrates the power of strategic customer engagement and performance-defining innovation. We're more embedded in our customer product strategies than ever before. From truck manufacturers to powersports OEMs and bike brands, these deepening partnerships are creating sustainable competitive advantages. The intentional investments we made in Q3 to accelerate high-value product launches have positioned us to capture significant opportunities and mitigate some of the intensified near-term macroeconomic impacts that we are seeing as we move through Q4 and into 2026. With our facility consolidations complete, our $25 million cost reduction program on track and additional optimization actions to come, we believe we have the operational foundation to deliver both innovation and profitability. I'm confident in our team's execution, our product road map and our ability to translate this to value creation for our stakeholders. With that, operator, please open the call for questions.
Operator: [Operator Instructions] And our first question will come from Pete McGoldrick with Stifel.
Peter McGoldrick: SSG on the bike side, you pointed to moderating orders on the mountain bike side in line with expectations. Can you quantify the year-over-year revenue progression? And then what the outlook for leaner inventory positioning in the channel means as we look into the fourth quarter?
Michael Dennison: Yes, Pete, this is Mike. Good question. So when you think about the year-on-year compare, it's a little bit tough in bike because the first half of '25 was higher relative to new product launches that you and I have talked about in the past. So a lot more weight towards the front half, a lot less weight in revenue towards the back half. On the whole, though, think about it, as I've said before, as kind of the stability year. So '24, '25 looking very much the same from a stability perspective, which sets us up for kind of the new baseline into '26. When we think about Q4, really, we're focused on kind of SSG in total, but I'll talk about bike specifically, it's really a retail story. As we think about the inventory levels associated with a lot of these dealers, distributors and even OEMs, as they go to the end of the year, they don't want to get overburdened with inventory so they can have another robust '26 first half relative to new product launches. So we're seeing a fairly significant change in the way they order, and that's reflected back again through mainly retail and distribution. So that's why we think about Q4 as really not a product story, but a retail story and how they're thinking about the macro. Does that make sense?
Peter McGoldrick: Yes, that's helpful. I also wanted to change gears and talk about the budgeting process as you look to align your cost structure and achieve your free cash flow vision. Can you help us think about what that means, whether in magnitude of cost realignment or the areas of opportunity that we might be considering as we turn the page into 2026?
Dennis Schemm: Yes, it's great because I'm really focused on '26. We have a lot of work to do in Q4, but the work we do in Q4 is really a function of what we deliver in '26, as you know. When I think about '26, I'm really thinking about the investments made in '24 and '25, which were significant relative to product, relative to capacity and innovation. That CapEx story, as you probably remember, was kind of a 3% of revenue story. And while we're not -- it's too early to guide '26, so this is not a guide. But when you think about things like investment in CapEx, think about '25 was kind of a 3%-ish of revenue story. We're built for what we need. So when you think about CapEx in '26, Pete, think about something kind of sub-1. That's a good example of kind of how we think about investments in '26 and what we can do with what we've built versus what we need to go build. I think there's a lot more work to be done. One thing that I would tell you is hope is not a plan. When we think about '26 and the actions we need to take in Q4 and Q1 to deliver the '26 that we all expect, including yourself, it's a function of not just cost reduction, but true optimization and making these businesses, helping these businesses perform at a profitability level that is commensurate with what we expect.
Operator: Our next question will come from Larry Solow with CJS Securities.
Lee Jagoda: It's actually Lee Jagoda for Larry.
Michael Dennison: We knew it wasn't Larry. So you don't sound like Larry either, but that's okay. Go ahead.
Lee Jagoda: I do my best. Mike, starting on the PVG side, I think you made some comments that the aluminum supplier fire was impacting supply chains and your sales in both Q4 and likely in Q1. Is there any way to quantify that relative to the sort of the miss versus consensus in the guide for revenue in Q4?
Michael Dennison: Well, I think the best way to quantify it because, again, that's a bit of a moving target. We actually think that resolves itself sometime mid-Q1. Pretty hard to depict exactly where that lands just yet, but it's for sure, a significant issue across Q4. But when you think of Q4, it's really a tale of 2 cities. One is that fire, which not only impacts the PVG OEM automotive business, but AAG relative to chassis. So you have to think about it in both of those camps, and it's not insignificant in either one. The other half of that change in guide is purely a reflection of the retail environment that I talked about earlier with Pete. So those are really the 2 buckets within the change for Q4. Outside of that, we believe the businesses will perform as they did in Q3 and continue.
Lee Jagoda: Got it. And I guess I'll follow up, Pete, and ask some questions about 2026. I think in your prepared remarks, you made the comment that the macro is increasingly challenging. Can you talk about the various end markets that you're selling and the expectations for growth in 2026? Or -- and if not, kind of why not? And then on the things that you can control in terms of new product development, new product launches, how should we think about the stuff in your control leading to growth in 2026 outside of whatever the end markets are going to do?
Michael Dennison: That's a big question. There's a couple of pieces to that. One, think about it from the standpoint of where we have control over the channel in which we sell, think about AAG and upfitted trucks or our relationship with our big OEMs in automotive and powersports. Those are fairly intact. And our ability to drive growth in those markets is easier than it is in retail environments where we need to work within the confines of a major retailer or even a smaller bike retailer who is trying to deal with the implications of the macro and government shutdowns and all the stuff you're aware of. So when I think about growth, what we can control is ensuring as we did in Q3 and as we'll continue to do to make sure we deliver that premium performance product. We still believe, and I think it's showing itself in terms of Q3 revenue growth, that if we develop the best premium performance product, we will still have an enthusiast who is willing to get -- to spend money to buy our products. So we are very -- we continue to be very fixated on delivering those product launches per our plan. That aside, when we think about '26, just to kind of give you an early view, I'm focused on profitability, ensuring that we deliver the product launches to make sure our product resonates with those enthusiasts, that's job 1. But job 1.1 is ensuring that we optimize this business to get to the profitability regardless of that top line in 2026. So that's really where the focus is. Again, too early to guide, but you're getting kind of a sense of where I'm going to spend my time and energy.
Operator: [Operator Instructions] And our next question will come from Anna Glaessgen with B. Riley.
Anna Glaessgen: I think you alluded to it in the prepared remarks talking about labor issues with a key OEM in SSG. We saw reports of an import ban on Giant hitting late in September. To what extent is that being contemplated in the 4Q guide down?
Michael Dennison: Yes. I mean the labor issues continue to be a challenge for our OEM customers, some specifically that have been reported on. So it doesn't -- it's not a tailwind. It's a headwind. How much of a headwind, I think, is still fairly fluid. We assume it's not going to be insignificant in Q4. I think those OEMs will work through it. However, as one of many extraneous events that causes challenges for that business on a near-term basis. So we'll keep working through it. The upside of all of it could be defined as -- you've seen the reports, Anna, from a lot of those companies who do report kind of what their industry, what their business is doing relative to the current macro and bike. Being flat year-on-year is predominantly a really strong positive when you look at kind of what everybody else is going through. So while we don't expect significant growth this year or potentially even next year in bike, the fact that we can remain healthy relative to our product, I think, is what we have to focus on and ensuring that we just continue to optimize that business as best we can.
Anna Glaessgen: Got it. And then turning to auto. One of the things on some of the OEM earnings calls a couple of weeks ago, the potential ramifications or tailwinds from listed environmental compliance rules. So potentially suggesting that some of the heavier hitters like Raptor, Tremor, et cetera, might have supply unlocked as they don't have to constrain them as much. Is there any way to think through the possible tailwind as volume is unlocked there?
Michael Dennison: I think the tailwind is what we've talked about in the past, which is the profitability for these vehicles in the premium sector of automotive tend to outrun the general pace of automotive typically. And so while we play in that space and continue to grow in that space, I think the unlock for us is significant, which is why we're so positive on PVG. The growth rate in Q3 was a significant step up for them. And while it's a little bit lumpy because we're defining and developing product for 2, 3, 4 years out. So it's not always incredibly completely linear. In total is a good growth story for us. So I actually agree with you. I think those products tend to do better in a tough macro, and we're on the right products.
Anna Glaessgen: Got it. And then just one more, if I could, kind of trying to tackle the macro question in a different way. In the past, you've talked about how the premium trucks within upfitting are selling a lot better than maybe in the $60,000 range. Is that still the case? And any more color you can provide on the various segments within the auto upfit business to understand the macro impact?
Michael Dennison: If you deliver the right product, and again, a good example is AAG in Q3 that grew over 17%. If you deliver the right product at a more premium class than kind of the common meat and potatoes of that business, you'll win. And so the growth was a direct reflection of delivering the right product at the right price points, which are more premium than the average truck on a lot.
Operator: At this time, I would like to turn the floor back over to Mike Dennison for any concluding remarks.
Michael Dennison: Thanks for the time today, and we look forward to talking to you soon.
Operator: This does conclude the Fox Factory Holding Corporation's Third Quarter 2025 Earnings Call. You may now disconnect your line, and have a great day.